Executives: Howard S. Frank - Vice Chairman, Chief Operating Officer and Member of Executive Committee Micky M. Arison - Chairman, Chief Executive Officer, Chairman of Executive Committee, Chairman of Carnival Plc. and Chief Executive Officer of Carnival Plc. David Bernstein - Chief Financial Officer and Senior Vice President Beth Roberts - Vice President of Investor Relations
Analysts: Felicia R. Hendrix - Barclays Capital, Research Division Robin M. Farley - UBS Investment Bank, Research Division Steven E. Kent - Goldman Sachs Group Inc., Research Division Harry Curtis - Nomura Securities Co. Ltd., Research Division Gregory R. Badishkanian - Citigroup Inc, Research Division Timothy A. Conder - Wells Fargo Securities, LLC, Research Division Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division Assia Georgieva Jaime M. Katz - Morningstar Inc., Research Division Jamie Rollo - Morgan Stanley, Research Division Edward Stanford - Oriel Securities Ltd., Research Division Ian Rennardson - Jefferies & Company, Inc., Research Division David Liebowitz - Horizon Kinetics LLC Unknown Analyst
Operator: Ladies and gentlemen, thank you for standing by. Welcome to the First Quarter 2012 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded Friday, March 9, 2012. I would now like to turn the conference over to Mr. Howard Frank, Vice Chairman and Chief Operating Officer. Please go ahead.
Howard S. Frank: Good morning, everyone. This is Howard Frank. With me this morning is Micky Arison, our Chairman and Chief Executive Officer; David Bernstein, our Senior Vice President of Finance and our Chief Financial Officer; and Beth Roberts, our Senior -- our Vice President and -- what are you -- what do you do again? Investor Relations Officer. Before David's comments, which we typically start the call with, Micky would like to make a few comments first. Micky?
Micky M. Arison: Good morning, everybody, and thank you for joining us today. As you can imagine, this has been a most difficult and challenging time for our corporation. We've all been deeply saddened by the Costa Concordia accident, and our thoughts and prayers are with the passengers, crew and family of those who were lost in this tragic accident. We are grateful to the Italian authorities and rescue workers who acted heroically following the accident and who continue to assist in the recovery process. We would also like to express our deepest appreciation to the local population of the island of Giglio and thank them for their generosity to those in need. As to the Costa Concordia crew, I'd like to thank and recognize them for their tireless efforts to evacuate more than 4,000 passengers and crew from the ship that night. Not enough can be said about the work that the crew did to help our guests in the most challenging of conditions. Before we walk through the financial impact to Costa Cruises and Carnival Corporation, I'd like to offer a couple of observations based on my experience. First, that the cruise industry remains incredibly safe and maintains one of the best safety records of any form of recreational travel in the world. The safety and security of our guests are job one, and we learn from everything we can from this incident and apply all lessons learned. Thank you. And David will take you through the numbers. David?
David Bernstein: Thank you, Micky. Before I begin, please note that some of our remarks on this call will be forward-looking. I will refer you to the cautionary statement in today's press release. Also, all of my references to revenue and cost metrics will be in local currencies, unless otherwise noted, as this is a more useful measure of business trends. Our non-GAAP EPS for the first quarter was $0.02. The first quarter came in $0.06 below the midpoint of our December guidance. The $0.06 shortfall from our December guidance was driven by $0.04 from the Costa Concordia incident expenses not covered by insurance and $0.04 from the impairment charge related to the Costa Allegra. All the other items netted out to a favorable $0.02 per share as higher-than-expected revenue yields and cost savings, including lower advertising expenses, more than offset $0.06 of higher fuel prices. Now let's look at our first quarter operating results versus the prior year. Our capacity increased almost 4%. Our North American brands grew over 4%, while our Europe, Australia and Asia brands or, as we call them, our EAA brands, grew almost 3%. Our total net revenue yields increased 2.9% in the first quarter, with net ticket revenue yields up 2.6% and net on board and other revenue yields up 3.7%. With respect to our net ticket yields, the North American brands were up almost 5% as yields rebounded in the Caribbean, benefiting from the continuing recovery in the U.S. economy after absorbing a significant capacity increase last year. During the first quarter, the Caribbean represented 2/3 of the North American brands' capacity. Our EAA brands' net ticket yields were in line with the prior year, with their ships cruising in numerous regions throughout the world during the first quarter. For net on board and other yields, the 3.7% increase was also driven by our North American brands. While consistent with our expectations, our EAA brands were down, principally due to the challenging economic environment in Europe. On the cost side, net cruise costs excluding fuel per available lower berth day were up over 6% versus the prior year. More than 1/2 the increase was driven by the Costa Concordia incident expenses not covered by insurance and the impairment charge related to the Costa Allegra. The remaining increase was due to the higher number of dry-dock days and related costs in the first quarter, which we discussed on the December call. As a result of our ongoing efforts to reduce fuel usage, our consumption per ALBD declined 2.5% this quarter, continuing our multiple-year savings trend. Fuel prices in the quarter were up 30%, which cost us an additional $0.18 per share. In summary, the first quarter non-GAAP EPS was $0.17 lower than 2011 earnings of $0.19 per share as increased yields were more than offset by higher dry-dock costs, higher fuel prices, the Costa Concordia incident expenses and the Costa Allegra impairment charge. Excluded from our non-GAAP EPS but included in our GAAP loss per share were impairment charges of $173 million or $0.22 per share, relating to all of Ibero's goodwill and 60% of their trademarks. We believe it's more meaningful to exclude these non-cash charges from our non-GAAP EPS, given their non-recurring nature and the fact that we believe they are not an indication of our future earnings performance. As we disclosed since 2010, we have been closely monitoring Ibero's intangibles, given the small amount of headroom in excess of its carrying value. At this time, given the state of Spain's economy, we slowed down the projected pace of Ibero's capacity growth in our discounted cash flow projections that are used to estimate Ibero's fair value, which primarily resulted in the impairment charge. Now turning to our 2012 outlook. I will skip the net revenue yield outlook as Howard will discuss that shortly. On the cost side, for the full year, net cruise costs excluding fuel per ALBD are forecasted to be flat versus the prior year. This is consistent with our December guidance, despite the $45 million of Costa Concordia incident expenses and the $34 million of Costa Allegra impairment charge, which increased the year-over-year cost metrics by 1.1 percentage points. Our operating companies identified opportunities in a number of areas to reduce costs, offsetting these items. At this point, I will turn the call over to Howard.
Howard S. Frank: Thank you, David, and good morning again to everyone. I'm going to comment -- to make some comments on the outlook for 2012, talk a little bit more about the Costa situation. While the Costa Concordia event has had a profound effect on our business and, indeed, the business of the entire cruise industry, as time passes, we are confident that our business will improve. Indeed, as I will comment on later, our North American brand booking patterns have improved during the last 7 weeks since the event in mid-January. In Continental Europe, the impact of the event on the European market and our European businesses has been greater, and it seems that it will take more time for those markets to return to normal booking levels. We have, however, recently seen some positive trends in our European business, so we are hopeful that booking patterns will return to normal levels sooner than we might have originally expected. As I comment on the business outlook for the remainder of 2012, for purposes of having more meaningful comparisons of booking trends fleet-wide and for the EAA markets, I will be excluding the Costa metrics. As we indicated in the press release, after the Concordia incident, Costa curtailed its marketing. In most markets, Costa has still not reestablished its marketing, although plans are underway to start these efforts over the next several weeks. I will comment separately on the Costa business later on in my talk as a separate matter. On a fleet-wide basis excluding Costa, constant dollar revenue yield guidance is being lowered from December guidance by approximately 1.5% for 2012. As a result, revenue yields in 2012, excluding Costa, are now expected to be in line with 2011 yields. As to the current status of bookings, on a fleet-wide basis, again, keep in mind I'm excluding Costa, occupancies for the remaining 3 quarters are lower than a year ago due to slightly higher prices. All my comments on pricing will be on a constant dollar basis as I go through my presentation this morning. For North American brands, occupancies are slightly lower at slightly higher prices. And for EAA brands, occupancies are lower at higher prices again. With respect to recent booking trends beginning in January, for the first 2 weeks of wave season, bookings were quite strong on a fleet-wide basis, driven by our North American brands, which experienced higher booking volumes and higher pricing year-over-year. EAA bookings were also higher year-over-year during the first 2 weeks of January at lower pricing. So even before the Costa incident, we continued to experience softer European pricing, which we attributed to the slowing Europe economies, together with the government austerity programs being implemented or expected to be implemented in many of the countries in Europe in which we market. Since the Costa grounding incident in mid-January, the booking patterns for North America and for EAA brands have slowed significantly. On a fleet-wide basis, bookings for the last 7 weeks -- and, of course, this excludes Costa -- through March 4 are running lower year-over-year in the mid- to high-single digits at slightly lower pricing. The week-to-week patterns have been uneven, with some weeks being stronger than others, partly resulting from the timing of marketing efforts by the brands. For North American brands, booking volumes during the 7-week period have been lower in the mid-single digits range on a year-over-year basis at slightly lower prices. The weakest itineraries for the North American brands have been their European programs, which is a trend we began to see beginning last year, starting with the European sovereign debt and banking crisis and the problems in Greece. Higher airfares between North America and Europe have also been a challenge. North American brands also source a significant portion of their European cruise programs from the Europe market, so the economic slowdown in Europe has also affected the North American-brand European cruises. For EAA brands, excluding Costa, booking volumes during the 7-week period on a year-over-year basis have been running lower in the mid-teens range and at lower prices. Our AIDA brand in Germany and our Ibero brand in Spain have felt the greatest impact during this period. Our U.K. brands are holding up relatively well as compared to our Continental European brands. We have recently seen trends in Germany so we are -- we have recently seen improving trends in Germany, so we are hopeful that we have finally turned the corner there as well. Now let me turn to Costa. As most of you know, Costa has a worldwide sales and marketing network, with its primary source markets in Continental Europe, South America, North America and Asia. In recent years, it has also developed new markets in Eastern Europe. Since the grounding on January 13, Costa has not been marketing its cruises. Indeed, Costa offered the opportunity for passes booked on any Costa ship to cancel their cruise through February 7. There were, in fact, relatively few cancellations, which we consider to be a very positive sign. Where possible, passengers booked on future Concordia cruises were rebooked on other Costa Cruises. As a result, there was a considerable number of cancellations and rebookings in the Costa booking pattern, so it was difficult to get a clear picture of booking trends post the grounding. Without any marketing, Costa's bookings during the first 4 weeks after the grounding ran approximately 80% to 90% lower on a year-over-year basis. More recently during the last 3 weeks to March 4, bookings ran 40% to 50% lower year-over-year. So with virtually no marketing, the booking picture is improving. As Costa begins to implement its marketing programs, which is already starting in certain markets, we expect their booking trends to gradually improve. While certain of Costa's markets may take longer to come back, because of its broad marketing reach, Costa has the ability to source passengers from its other markets. However, estimates are that it will take up to a year before the booking trends start to normalize in some of its markets. During this period, Costa has adopted a strategy in its primary markets to hold its pricing, even at the expense of lower occupancies in order to maintain an orderly market. For 2012, Costa is forecasting a loss for the year of approximately $100 million or a swing of $500 million from its previous earnings forecast. Most of this swing relates to reduced revenues, including the lost capacity from the Costa Concordia. It also includes approximately $27 million of one-time Concordia-related costs and $34 million relating to the Allegra incident, including the write-down of the value of the ship, which David mentioned before. Having said all this, Costa is beginning to see light at the end of the tunnel, but it will take some time to get there. So there should be no doubt, we view Costa as a great company and a great brand, with a terrific management team and with a great future. Micky and I take this opportunity to thank Pier Foschi and the entire Costa management team for their most extraordinary efforts during this most difficult period. Now let me turn to revised guidance. The midpoint of our revised non-GAAP guidance for the year of $1.55 per share is a reduction of $1.15 from our December guidance of $2.70. That was the midpoint of our guidance. Included in the $1.15 of guidance reduction is $0.65, which represents the decline in Costa's earnings, of which I mentioned before, of which $0.08 is one-time cost. The reduction of our other North American and Europe EAA brand revenue yield forecast amounts to $0.19. Higher fuel prices for all these other brands net of currency from that used in the December guidance is forecasted to reduce earnings by $0.40. And there is a net benefit from other items, mostly reduced cost of approximately $0.09 a share, which gets us to the $1.15. So apart from the increase in fuel prices, our other brands' earnings are lower by approximately $0.10 per share from the December guidance. Now I'll move on to give you some colors by each of the quarters. Turning to the second quarter -- and when I give you this data, it is now x Costa -- fleet-wide capacity for the second quarter is up 2.7%, 2.9% for North America brands and 2.2% for EAA brands. At the present time, on a fleet-wide basis, pricing is slightly higher than a year ago at slightly lower occupancies versus last year. North American brand fleet-wide pricing is higher than a year ago at flat occupancies. North American brands are 56% in the Caribbean, approximately the same as last year, with the balance in various other itineraries. Caribbean pricing is nicely higher than a year ago at approximately the same occupancy levels as last year. Pricing for all other itineraries taken together is higher than a year ago at slightly lower occupancies. EAA brand fleet-wide pricing, excluding Costa, is slightly lower than a year ago on lower occupancies. EAA brands are 50% in Europe, slightly up from 47% last year, with the balance in various other itineraries. EAA brand European pricing is up slightly versus a year ago on lower occupancies. EAA pricing on all other itineraries taken together is lower than last year, also at lower occupancies. On an overall basis, we are currently forecasting that constant dollar revenue yields will be flat to down slightly for the second quarter, slightly higher in North America, slightly lower for EAA. For the second quarter guidance, we are guiding earnings in the range of $0.05 to $0.09, or a midpoint of $0.07. This is versus $0.26 in the second quarter of 2011. Swing in earnings for the second quarter of -- from the second quarter of 2011 is primarily due to the Costa impact of about $0.12 a share and higher fuel costs of about $0.10 a share. Now turning to the third quarter. Capacity is expected to be up in the 2.9% range, 3.4% in North America, 2.2% in EAA. On a fleet-wide basis, third quarter pricing is higher than a year ago on lower occupancies. North American brand pricing is slightly higher than a year ago at lower occupancies. North American brand capacity in the third quarter is 38% in the Caribbean, slightly higher than a year ago; 24% in Alaska, the same, slightly higher; and 25% in Europe, which was about the same as last year. Pricing for Caribbean itineraries is higher than a year ago, with pricing for Alaska and Europe cruises flat with last year. Occupancies for the Caribbean and Alaska cruises are slightly lower versus last year, and occupancies for Europe cruises are lower than last year. For EAA brands, pricing is nicely higher than a year ago at lower occupancies. EAA brand capacity is 85% in Europe itineraries, which is slightly up from 82% the prior year. EAA brand constant dollar pricing for European and all other itineraries is higher than a year ago on lower occupancies. Now turning to the fourth quarter. Fleet-wide capacity in the fourth quarter is expected to be 2.9% higher than last year, 3.7% for North America brands, 1.7% for EAA brands. This, of course, excludes Costa. Fleet-wide pricing is slightly higher than a year ago at lower occupancies. Much business remains to be booked for the fourth quarter, so I caution not to read too much into this information. North American brand pricing in the fourth quarter is flat versus last year at lower occupancies. North American brands are 43% in the Caribbean, slightly higher than a year ago, 13% in Europe, which is about the same as the past year, with the balance in various other itineraries. Caribbean pricing is higher than a year ago at higher occupancies. Europe pricing is also higher versus last year at lower occupancies, and pricing for all other itineraries taken together is higher than a year ago on lower occupancies. Turning to EAA. EAA pricing, which is the EAA brands of 61% in Europe itineraries, is nicely higher versus the year ago at lower occupancies. So that kind of wraps up the current status of the booking picture for 2012. And I think, with that, Kayla, I think we can open it up to questions.
Operator: [Operator Instructions] Our first question comes from the line of Felicia Hendrix with Barclays Capital.
Felicia R. Hendrix - Barclays Capital, Research Division: In the release -- and I guess this should be directed to Micky but also, Howard -- your comment on price discounting was interesting, especially since occupancies are lagging in almost every quarter. I'm just wondering, are you actually seeing improvement fast enough to make you comfortable that customers won't need a little nudge, especially in Europe, given how that's also lagging?
Micky M. Arison: I don't know what you mean by a little nudge. But I think...
Felicia R. Hendrix - Barclays Capital, Research Division: Well, I guess what I mean is a little stimulation.
Micky M. Arison: I'm kidding, Felicia. I guess what we're saying is that our brands -- and we're obviously comfortable with what we're saying here. And the reality is, all we're saying is that marketing efforts, discounting, et cetera, to achieve our yields forecast will not be greater than last year or shouldn't be greater than last year. But that's not to say there wasn't incentive for booking last year as well. So it's not that marketing activities won't continue. It's not that -- but we're very comfortable with this forecast based on the information we have to date, and we believe that they're very achievable. And we'll do what marketing efforts we need to do to get it done. Clearly, the pattern is -- has been positive as we get further away from the incident.
Howard S. Frank: I think as we've emerged from this period, and based on a lot of the surveys we've done in different markets, not in all markets, certainly not in certain European markets, the issue of the Concordia incident has really fallen away as a major obstacle for selling cruises. So it's come back to great value, great vacations. And our guys, really apart from the Costa situation, feel that things are getting better. So that -- the close-in patterns are good, which is not necessarily always good for us. We like to see further out booking patterns, and I think that's going to start to happen as business gets stronger closer in, then bookings get pushed out and pricing gets -- becomes more sustainable. So I think they're feeling pretty good about the situation, and we're not totally out of the woods. I don't want to suggest that. But certainly, the trending seems to be quite positive right now.
Micky M. Arison: I think Howard's point is a good point. We've done consumer surveys now in all our major markets, and all our brands are doing them. And by far, the #1 reason why people are holding out is not safety. Safety is way down the list. There is a clear recognition that this is a very, very safe industry. The #1, consistently across-the-board, is that expectation that prices are getting lower. And at this point, there's no reason to believe that's going to be the case versus last year. And hopefully, as people realize it, they'll come off the fence and book their vacations.
Felicia R. Hendrix - Barclays Capital, Research Division: That's actually very, very helpful color. I appreciate that. And then just on Europe and kind of in line with your answer there, obviously, there's weakness coming from North American-sourced consumer. You mentioned airfare among some other things, but what can you do to offset that airfare issue as a gating factor for the North American consumer who might want a cruise in Europe but who's kind of getting some sticker shock?
Micky M. Arison: Well, they can take Queen Mary 2.
Howard S. Frank: No. I mean, they're -- look, our guys are pretty creative when it comes to the marketing side, and they are taking actions to strengthen the booking pattern for European cruises, and they're doing it in various ways. Each brand does it uniquely different than the other. They don't like -- they don't copy each other necessarily. So we're seeing bookings in Europe. It's just -- it has been slow, and it's going to be -- it's probably not going to be our best year in Europe and -- but I think that they will be creative. We haven't added a huge amount of capacity, North American brands to the European programs this year. It is up some, but not a whole lot.
Beth Roberts: 5%.
Howard S. Frank: 5%.
Micky M. Arison: By the way, I was only partially kidding. Because as airfares across the Atlantic get higher, Queen Mary 2 gets to be a greater and greater value. And it's the best way to go to Europe or back.
Felicia R. Hendrix - Barclays Capital, Research Division: Then you'd have to take 2 cruises.
Howard S. Frank: Absolutely.
Micky M. Arison: And you need...
Howard S. Frank: Nothing wrong with that, but the food is so much better.
Operator: Our next question comes on the line of Robin Farley with UBS.
Robin M. Farley - UBS Investment Bank, Research Division: I wonder, given that it's kind of a departure to have occupancy down, and obviously, it's to protect the brand, does it make sense at some point to take some Costa ships out of service to eliminate the operating expense while the occupancy is down?
Micky M. Arison: Yes. I want to at least have the opportunity to clarify that comment about occupancy with Costa. It's clearly a short-term tactic based on present information and the fact that Costa, in many of its markets, still is not doing any advertising. So it's the reality of the situation. It's a tactic. As soon as that changes, as soon as they are comfortable from a PR point of view to start marketing, they will do that and hopefully bring this occupancy up. But our forecasts are built on the concept that the majority of their yield deterioration will be occupancy.
Howard S. Frank: Right. And just let me comment further that a lot of the occupancy loss is occurring now. So on a shorter time frame, we'll see a greater proportion of the occupancy loss. Longer term, further out, we shouldn't have much occupancy loss on any of the brands. And then just one more point on the issue of looking at other possibilities, I mean, clearly, the company -- because it has a unique ability to source in so many different markets, it is looking further out and into 2013 at their itineraries, currently, and will make some adjustments indeed, I think, for this winter. This coming winter, they're moving another ship to the South American market, to the Brazil and Argentina zones.
Micky M. Arison: Brazil.
David Bernstein: We did, by the way, think about and look at laying up ships. But because of the disruptive nature and the short-term nature of the occupancy decline, we don't believe that, that would make sense for the long-term strength of the brand.
Robin M. Farley - UBS Investment Bank, Research Division: Okay, great. And then I wonder if you can give a little bit of color. You talked about some of the sequential year-over-year changes for the Costa brand, seeing how that had improved from the initial weeks. Can you give a little bit of color on the change for North American brands or company-wide x Costa? You mentioned down mid- to high-single digits, and that sounded like a cumulative change over the 7 weeks, but just to get some sense of how that trended from week 1 through week 7.
Howard S. Frank: Yes. I think for North America, what we're seeing is actually a little bit of surprise. The contemporary brand Carnival seems to be performing stronger than their premium brands and -- but I think part of the premium brand issue as we read through it is also these European cruises this spring, summer and fall. But Carnival, we thought there would be more of a first-timer issue. They seem to have come through this quite nicely right now. And first timers appear to be, from everything they can see because their bookings have been up recently, that first timers -- we don't have the data specifically on first timers. It's too early, but it looks like Carnival Cruise Lines will not have any kind of a problem. For Holland America, Princess and even Seabourn, they're doing fine, except for these European cruises, and they're doing all they can to try to shore that up right now. But Alaska seems to be okay. Their Caribbean programs are fine. All their other long-term programs are fine. So I think that's sort of the North America situation. And it has gotten stronger each week. As I say, it's a little bit uneven, depending on how much marketing they're doing. But each week, the pattern is getting stronger and stronger.
Micky M. Arison: It's interesting because the perception out there was that Carnival Cruise Lines, because they have more first timers and more North America and because of the name recognition, vis-à-vis Costa, would be most impacted. But in reality, they've been the least impacted. And in fact, their business is up year-over-year. And they're our best performing brand right now on a year-over-year basis.
David Bernstein: Looking at the North American brand specifically, I mean, shortly after the incident, they started down in the double-digits, and they improved considerably. As Howard mentioned in his notes, it varies week by week, depending on the marketing activities of each brand. But it is, overall, a general positive trend into the low-single digits.
Robin M. Farley - UBS Investment Bank, Research Division: So in other words -- that’s what I was trying to clarify. If the down mid- to high-single digits is cumulative, and it was initially down double-digits, are the last sort of 2 weeks or so down -- it sounds like you're saying it’s down less than 5% year-over-year?
Howard S. Frank: It's really -- I'd rather give you overall -- you’re really looking at it on a rolling basis because the weeks can be very uneven. But they are getting positive, yes.
Operator: Our next question comes from the line of Steven Kent with Goldman Sachs.
Steven E. Kent - Goldman Sachs Group Inc., Research Division: Can we just talk a little bit about the $173 million charge related to Ibero goodwill and trademark? I guess I don't completely understand it because by taking the charge, and you're saying slower-than-anticipated capacity growth due to the current state of the Spanish economy, does that essentially assume that you think the Spanish economy will be weak forever? That's the way I read that write-off and how you're able to do it. And then...
Micky M. Arison: Can I answer that question first?
Steven E. Kent - Goldman Sachs Group Inc., Research Division: Sure guys. Sure.
Micky M. Arison: The reality is the way this is done -- and maybe David can explain it better than I can. It's a long-term model, and in that long-term model, we had projections of moving ships into the brand and growing the brand over time. In reality, over the last 12 months, we have reduced capacity by moving the Grand Voyager out of the brand, and our competitors, Pullmantur, have also pulled capacity out of the marketplace. So was it realistic to continue to assume that we're just going to add capacity when we're actually reducing capacity? And so when we pulled that capacity out of the model, it required this write-off. David...
David Bernstein: Correct. Yes. We just basically slowed down the future growth of capacity. We still believe in the Spanish market longer term. But at the moment, I think we've said a number of times that Ibero was struggling as a result of the economy. I think the unemployment rate is still like 20% in Spain. And as a result of that, we felt this was the right thing to do.
Howard S. Frank: Yes. I mean, I think, Steve, it's going to take longer. I think we felt it's going to take longer for the Spanish economy to return to reasonable levels of strength so that -- it was hard to justify today, that 3 or 5 years, whenever we're adding a ship, would happen. We just -- with a marginal call on the goodwill for a while, we were covered with this additional capacity 3, 5 years out. But once we took that capacity out of the model and it was difficult for us to support it internally, we just felt uncomfortable with it, that let's just take it out and take the charge so we don't have to deal with it later on. It doesn't mean we wouldn't add that capacity later on if the market supported it. And clearly, we think the Spanish market will come back, but it may take a few more years than we originally thought. That's clearly seems to be what people are saying.
Steven E. Kent - Goldman Sachs Group Inc., Research Division: I guess I just -- if you did add capacity back on, then what's the accounting for it? I mean, if you decided to do that in 2 years?
David Bernstein: There's no change. You can't write back up goodwill.
Steven E. Kent - Goldman Sachs Group Inc., Research Division: That's what I thought. Okay. So then the second issue is, just on Costa, I think it was you, Howard, who had said that you thought it would come back in 1 year or -- that was your number. What was -- or your time frame. What's giving you the confidence that it's 1 year and not 6 months or 3 years?
Howard S. Frank: Well, there's been a lot of -- when I said -- let me get into that. When I said come back, I said, for most markets, the pattern should start to -- they expect the patterns should start to normalize in about a year. Now what -- all the work and research have been -- huge amount of research done over in Europe by Costa on the process by which -- how this is going to happen, using benchmarks from other companies had in crisis situations. I think that -- while there's nothing that says that this pattern's going to follow those patterns, there is a feeling that on many of the major -- and by the way, we're starting to see -- many of Costa's markets are coming back already and starting to show some normalization, but they're not the major markets. The major markets for Costa will be Germany, Italy of course, France and Spain. We're seeing evidence in France and Spain, actually, of their business coming back already, less so in Italy and Germany. But we need Italy and Germany. Italy for sure, and...
Micky M. Arison: Actually, Germany had a good week last week, but 1 week is not...
Howard S. Frank: Yes. Italy, for sure, is going to be the major challenge. But I think the feeling is that 1 year from now, based on these very smart people who seem to have been through this before and the sense of the positive trending we're starting to see now without any marketing out there, that we should get back to more normal booking levels. Where the pricing -- I think -- I'm not sure pricing will come back to the same levels, but we'll see. But I think we'll gradually come out of this in '13. I think '13 should -- obviously will show an improvement over '12, but it may take 1 year or 2 to get back to the kind of profitability that we expected to have in 2012.
Micky M. Arison: And obviously -- it's blatantly obvious, but from 1 year ago, Costa's capacity now will be down 3 ships with -- they sold the Costa Marina, the Concordia and, now, the Allegra. So their capacity is 3 ships less than we would have expected in '13.
Operator: Our next question comes from the line of Harry Curtis with Nomura.
Harry Curtis - Nomura Securities Co. Ltd., Research Division: Just a clarification and then a bigger-picture question. So in your comments, you mentioned that Costa has swung about $500 million in profitability to a loss of $100 million. About how much of that -- how much is that on an earnings basis? And is that -- that's embedded in your 2012 guidance?
Howard S. Frank: Yes. I mean -- yes, that's all in -- what I was trying to do was explain the major reduction in guidance, and that represented $0.65 of the $1.15 in lower guidance, Harry.
Harry Curtis - Nomura Securities Co. Ltd., Research Division: Okay. And then just a 30,000-foot question. In the hotel industry, there's an adage that the industry doesn't really know if it's overbuilt until it builds one room too many, and that's a topic that probably applies to the cruise industry as well. And my question is, is it overbuilt? Should the industry really be adding any capacity here?
Micky M. Arison: We're still -- you can go back to the normal stuff. We're still a very, very small piece of the vacation market. And the reality of the growth potential in many of our markets is still very big. And we've said that we're growing at a much, much slower pace, 2 to 3 ships a year, and we've also said that the 2 or 3 ships a year will not be all incremental capacity because some of the older ships will be sold and taken out of the fleet. And in fact, the Allegra was for sale, and we had anticipated taking her out of the fleet as soon as we had a buyer. So the growth rate will be coming down, but I still think there's plenty of growth potential in this industry. Remember, unlike the hotel industry, we operate at full occupancy. Hotel industry operates at 70% or 75% occupancy.
David Bernstein: And with 2 to 3 ships a year, if you net out some sales as Micky mentioned, you're really probably only talking about a 3% or 4% capacity growth, which was really in line with the population growth in many of the markets and where we operate. And actually, it is less than the growth of the, let's say, the 45-plus age population growth in many of the markets we're operating. So we feel that we have slowed down the capacity growth in line with our overall marketplace.
Harry Curtis - Nomura Securities Co. Ltd., Research Division: But as a practical matter, the industry through the cycle has really only averaged maybe just over 1% yield growth, and that's not going to drive your return on invested capital. I think you've got to get your pricing higher to do that. And so has there been any consideration that the 2 to 3 ships a year should really be a lower number?
David Bernstein: But keep in mind, Harry, the 1% you're talking about is in a period of time where you're talking about a high-single digit, and in many cases, double-digit capacity growth. And so now, we're talking about low-single-digit capacity growth. And the reason we changed the strategy was for the very point you mentioned, in the hopes that we wouldn't necessarily have to discount the cruises as much compared to other vacation alternatives. We could begin to close the gap, get a little bit more pricing power and improve our return on investments.
Howard S. Frank: There's no question, we agree with you, that the product deserves much higher yield growth and, hopefully, in the future, we'll see it. But we have gone through a financial crisis, and I won't go through the whole litany of stuff. But the reality is that we believe, with the slower capacity growth, that in a normalized period of time, we can get significantly higher yield growth. And historically, we haven't had cost growth so that the returns could return.
Operator: Our next question comes from the line of Greg Badishkanian with Citigroup.
Gregory R. Badishkanian - Citigroup Inc, Research Division: As you look out to 2013, I'm assuming, if you kind of even exclude the Costa line, that things will be normalized by then. And if that's the case, would you actually expect maybe even a greater bump up in terms of the growth rate, in terms of whether it's bookings or net yields, just because you face really easy comparisons from -- you'll face easy comparisons from 2012?
Howard S. Frank: Greg, the one thing I will agree with you on is the comparisons will be easier for 2012. I hate to get into talking about 2013 just yet. I think it's still early. But clearly, the comparisons will be easier. I think we like -- look, I think we've got a great business. I think we like -- we got our strong brand positionings in each of the major markets. When we started the year, this year, the first 2 weeks of January, where I mentioned our business was quite strong, our bookings were up, our pricing was up, especially in North America, we were feeling that this could be a very, very strong year, and then this event came along. So yes, I think 2013, absent exogenous events that -- and the European economy going into a real tailspin, we're doing okay. Even the U.K. market -- North America looks fine to us, actually. U.K. market, even with all this noise out there, is coming right -- it's coming through very nicely right now and with very little sign that the incident is affecting their business at all right now. And so we feel good about that, and we know Germany's going to come back. The AIDA brand is an amazing brand with an amazing management team, very talented people running it and the strongest position in the German market. And Costa, we think it's going to go through a little bit of pain this year and a little bit less pain in 2013, but it clearly will be better. And so I think the future is bright for us. I really feel good about the business right now.
Gregory R. Badishkanian - Citigroup Inc, Research Division: And just kind of keeping on the theme -- I mean -- so when you look at your price versus occupancy, how do you look at that? Because, I guess, in -- next year, it's a lot harder to recover if you start discounting now. So are you thinking maybe even give up a little bit of occupancy because then it's easier to kind of work off the pricing base that you'll have in 2012?
Micky M. Arison: Our long-term strategy on occupancy and price has not changed. Our discussion about giving occupancy in Costa is a short-term tactical situation based on present events. But you should expect that our long-term strategy, which we believe is the way to maximize profitability, has not changed.
Operator: Our next question comes from the line of Tim Conder with Wells Fargo.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: First of all, just a clarification. The $30 million, roughly, deductible, or right about that amount for the ship, where is that included in relation to the whole comments regarding Costa? So just a clarification from that standpoint. And I guess the other one also, if you would have the capacity by quarters, inclusive of Costa? And then I guess more of a real question here too. Given that Costa, the Carnival brand and AIDA appear to be your most profitable brands, and the Carnival brand, you've already commented on, what it's doing; and then AIDA, as AIDA starts to come back, how much of a recovery, I guess, have you built into your expectations for this year for the AIDA brand in 2012 from the present levels?
David Bernstein: Okay. Well, let me start with the $30 million deductible relating to the Costa Concordia. At the time we put that into the 10-K, it wasn't clear what the end result of the ship would be. Now that it's been declared a constructive total loss, the deductible no longer applies. It's just a part of the overall policy. And therefore, that $30 million disappeared from the financial analysis. As far as the capacity by quarter, let's see. The total capacity, we’re up 3.7% in the first quarter; 2.7%, second; 2.9%, third; 2.9%, fourth; and 3.0% for the full year.
Howard S. Frank: That includes Costa.
David Bernstein: And that includes Costa, yes.
Howard S. Frank: On the AIDA question, Tim, I think they've taken down their revenue yields as a result of these -- this hit. This interim hit. But they see the business coming back so their -- but they have -- for purposes of our forecast, they have taken down their revenue yields as a result of the incident. But I think that they're starting to see business come back. But there will be some level of hit because they've taken -- in order to fill close-in, they've had to take pricing down a little bit.
Micky M. Arison: I think last week, they were up year-over-year for the first time. So that was very encouraging.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: On the bookings, Micky?
Micky M. Arison: Yes, yes.
Howard S. Frank: Correct.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: And then I guess my other question is back to more, let's call it, normal state of affairs, one of the prior questions related to the slower capacity and so forth. Yes, you've had some good cost leverage and a good history of doing that. Do you still feel comfortable of maintaining that -- I guess you'd said before roughly 1/2 the rate of inflation or so, with the lower capacity growth as you look out into '13, '14 and '15 at this point.
David Bernstein: We've consistently said flat to 1/2 of inflation. And the reason we're comfortable with that is because we are working on quite a number of things. We have a corporate group. We’ve got a profit improvement program. They've got lots of different things going on. The gold mine of opportunity for us is the continuation of the brands working together to leverage our size, to work through collectively in order to save money. And we've been working on that extensively over the last couple of years, and that gold mine of opportunity is far from completely harvested at this point.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay. And if I may, one...
David Bernstein: Short answer is yes.
Howard S. Frank: Answer is yes.
Timothy A. Conder - Wells Fargo Securities, LLC, Research Division: Okay, okay. One last clarification. The Allegra, at this point, scrap? Or can it be recovered and then eventually sold as you were originally planning?
Micky M. Arison: Yes. I mean, we've written her down because it was our intent to -- it is not our intent to put her back into service, and we believe that the repair cost will be more than we'd want to spend to put her back in service. Whether we sell her or scrap her, that decision hasn't been made yet. We have to get a full cost of what it will take to repair her. She's on the market for sale, she has been, but we're going to have to obviously reduce the price of the ship for sale, and we’ll see what happens.
Howard S. Frank: In the last year or so, there have been a couple of different groups expressing an interest in that ship.
Micky M. Arison: We've written her down to a level that we feel comfortable that we'll be able to get at least that.
Operator: Our next question comes from the line of Steve Wieczynski with Stifel.
Steven M. Wieczynski - Stifel, Nicolaus & Co., Inc., Research Division: Most of my questions have been answered, but just going back to the expense question, David, I guess when we look at your expense forecast now, I'm pretty surprised it's essentially still flat from where it was back in December. And you talked about that you guys identified some expenses that you can cut out. Can you just walk us through just where those are coming from or maybe what buckets those are coming out of? And then does your expense forecast include anything in terms of higher cost for whether it's safety standards or insurance deductibles or anything like that?
David Bernstein: Yes. We looked at every single line item. To start with, on the advertising front, I mean, we had talked about the fact that advertising was down in the first quarter because all the brands essentially stopped advertising for some period of time after the event. We do expect to spend most of that money in the remainder of the year, but probably not all of it. So some of it came in the form of advertising. We looked through the G&A expenses, travel, training, cutting back in all areas that weren't essential. All of the operating companies' CEOs talked to their people and identified numerous items relating to ship operating expenses that could be saved without impacting the product. And one other item is we built our forecast early in the year on inflation assumptions. And what we noticed was, in the first 3 months of the year, our inflation assumptions were a little high, so we brought them down for the back half of the year. And as a result of the lower expectations, we were able to reduce costs in the remaining 3 quarters to cover some of those one-time expenses we talked about.
Howard S. Frank: I guess just a clarification, just probably because I'm more sensitive to it than some other people. But when David talks about saving on training, the focus is on hotel training, not safety training, not emergency training. Just hotel and that sort of stuff.
David Bernstein: Mostly shore and shore-side training.
Micky M. Arison: Just to finish up on the issue of potential regulations, clearly, this is something that, with the safety group that we have, both internally and with CLIA, those recommendations, when found, would go to the IMO. And if they think that we can institute immediately, we would obviously do that like we did with the muster drill change that we did with CLIA. But anything that was more structural or anything like that, that would be costly would have to go through the IMO process that would take quite some time. So it's not something that would be in our '13 expectations -- our '12 expectations, sorry.
Operator: Our next question comes from the line of Assia Georgieva with Infinity Research.
Assia Georgieva: Howard, I wanted to ask for a clarification. When you gave Q3 and Q4 outlooks, those were without Costa. Is that correct?
Howard S. Frank: Yes. And I didn't give -- actually, it wasn't the outlook. It was really the current status of bookings, and it was without Costa, x Costa.
Assia Georgieva: Would you be able to give us that type of color on Costa only?
Howard S. Frank: I think the issue with Costa is that since it's -- everything related to what that company is going to do this year is going to be such a one-off situation that to try to -- and even speculating on the situation or giving you data points, I don't think is worthwhile information. Let's just look at it for this year as a very challenging year, a rebuilding process, a retooling process, a remarketing process. So when you're not looking -- when you don't have marketing out there, your websites aren't doing any marketing. Even your basic website is difficult to market on today. Giving you information like that, I think, wouldn’t enable you to get a sense as to what the real business is doing. That's why I chose to say -- look, this is what the profit we expected it to be, this is what the profit loss is going to be, this is the swing, and let's look forward to 2013.
Assia Georgieva: Okay, fair enough. Going back to the state of affairs for Q3, and again, I guess, excluding Costa at this point, do you -- have you built any upside on a year-on-year basis, given that in April and May we are entering much easier comparisons when we had the Arab Spring and the Japan earthquake events impacting bookings in the year-ago period? Is that built into your Q3 forecast? Or are you waiting to anniversary it and then see how it goes?
Micky M. Arison: Our forecast is built on what our brand's booking patterns are now and what they perceive they will wind up with at the end of the year. And then we look at it for reasonability. And I think, based on everything that's happened, everybody's a bit conservative. But obviously, it's our best shot at where we're going to wind up. And historically, we've done a pretty good job of that. Obviously, this is the unique set of circumstances, and that's why the ranges are a little broader. But I don't think it has anything to do with last year. I think it's based on what we're seeing right now and what the perception is going forward and where we're going to wind up.
Howard S. Frank: And remember, the MENA effect last year was mostly within Costa. A large portion of the cost of MENA was actually in the Costa brand. So most of the other brands, I think, are marginally affected by MENA, but not to a great degree.
Micky M. Arison: Yes. The 300 itinerary changes that were made last year because of MENA were virtually all Costa.
Howard S. Frank: And maybe that's why you were interested in Costa, Assia. I mean, I don't know, but yes.
Assia Georgieva: Well, partly because of that, and also just to get more of a sense as to how you expect their booking patterns to recover over time, since you gave us the breakdown the first 4 weeks -- the most recent 3 weeks. I thought that would be interesting. And again, one last question. Any update on the time frame for the removal of the Concordia hull at this point? Or are you still waiting on bids to actually finalize plans?
Howard S. Frank: Well, one of the challenges, I think, is going to be the salvage of that ship. Salvage bids just came in earlier this month, and they’re being evaluated right now. Realistically though, I mean -- and that's one of the challenges Costa's going to have -- we don't expect -- it's going to be a unique salvage. It's never been done in this order of magnitude. So there's a lot of planning and engineering that needs to go into it and probably building some unique tools to do it with. And it's realistic to think that the process -- what they're saying right now is we shouldn't expect the salvage process to begin until after the summer. So it could be there for quite some time, the hull of the ship.
Assia Georgieva: And I imagine winter -- yes, go ahead David.
David Bernstein: Yes. No, Costa did indicate in a press release this morning that because of the complexity, they do expect the duration to be 10 to 12 months overall.
Operator: Our next question comes from the line of Jaime Katz with Morningstar.
Jaime M. Katz - Morningstar Inc., Research Division: Can you guys talk a little bit about how the incentives have changed, the level of them year-over-year, and maybe how that might impact onboard spending in the next quarter or 2? And then also if you have any more color on Alaska, that would be really helpful. I think -- I'm not sure if I recall correctly, but I think it sounded a little bit more positive on last quarter's call.
David Bernstein: Jaime, when you say -- you said the level of incentives, you're talking about the pricing?
Jaime M. Katz - Morningstar Inc., Research Division: Well, yes, the pricing and what you guys are using to get people onboard, whether that's onboard credits or some sort of program like that to incentivize them.
David Bernstein: Well, overall, I mean, all our brands, depending on the marketplace and the itinerary, in some cases, it's pricing. In some cases, it's an upgrade. In some cases, it's an onboard credit. Our brands are very creative, and they do what works in each situation. So there's a little bit of everything thrown in across all of the brands around the world. As far as the onboard spend is concerned, Howard did indicate that excluding Costa, he expected the prices overall for the year to be in line with the prior year. So taking a look at that, we weren't necessarily expecting a significant change, and we built into our onboard revenue forecast an increase. We actually had -- excluding Costa, we probably had about 1.5 points of yield increase on the onboard side in the December guidance. The first quarter came in much more than we had anticipated, and so we did build in a little bit of an increase in those numbers for the remainder of the year. So we are seeing some good onboard spend increases. All of the categories are up, all the major categories, including casino in the first quarter. I was quite pleased by that.
Howard S. Frank: On the Alaska question, Jaime, I don’t remember what actually -- what we actually said on Alaska. I think Alaska's been pretty consistent and solid. Not spectacular. But I think -- if anything, I think it may -- the picture maybe look a little bit better, maybe at the expense of Europe for all I know. But I mean -- people doing more Alaska cruises than Europe cruises because of the cost of Europe cruises going up. But Alaska seems to be doing okay.
Operator: Our next question comes from the line of Jamie Rollo with Morgan Stanley.
Jamie Rollo - Morgan Stanley, Research Division: I've got a couple of questions on yields. First of all, on Costa, you're saying it has a 2- to 4-percentage-point impact on group yield, which applies Costa yields down 15% to 25% or so. But then you also said bookings are down, I think you said, 40% to 50% of the last 4 weeks. That seems to imply quite a sharp recovery over the next few months. And then the other question was -- I'm just interested in trying to strip out the sort of noise post-Concordia and what sort of trajectory you were on. In ways, you said it started well. Your onboards are better. Royal was guiding originally to 2% to 4% underlying. I'm just wondering whether you would have increased your original yield guidance of 1% to 2%.
David Bernstein: Okay. Well, as far as Costa's concerned, Jamie -- I mean, you're right. The math -- the way the math works since it's 15% of our capacity, that 15% to 25% range makes sense. One thing to keep in mind that we talked about is the majority of that is going to come in the form of occupancy when you're talking about yield decline. So at the moment, Costa's behind in terms of bookings in the high-single digits. So they can continue to be behind on a year-over-year basis considerably to wind up with a 15% to 25% occupancy decline -- or yield decline, most of it coming from occupancy. This isn't a situation where Costa has to catch up. It's not a zero-sum game. They don't have to exceed last year's booking patterns in order to make this guidance. So it's a little bit different from that perspective. As far as the full year guidance is concerned, we did exceed the guidance in the first quarter. It was 1.5% to 2.5%. We came in at 2.9%. So the year was starting off strongly. We're very pleased. I think Micky indicated that before. So I'd like to believe we might have increased it, but it's very hard to say at this point what would have happened.
Howard S. Frank: I'm not sure if I said this, but [indiscernible] is asking me this question. But North America brands for that first 2 weeks of January were up in the mid-teens levels in terms of bookings. So it was off to -- we were off to a very, very positive start for North America.
Micky M. Arison: Even the booking period over the holidays, which is normally extremely quiet, was very strong this year. So we were very encouraged up until January 13.
Jamie Rollo - Morgan Stanley, Research Division: Okay. And if I could just follow up on Costa. Are you absolutely confident in the future of the brand? Is there any risk it does need a sort of rebranding or anything like that? And also, what's the goodwill for Costa please?
Howard S. Frank: We are totally confident in the brand. I mean, it's a global brand. All the surveys we've done so far, whether they're in Continental Europe or other markets, indicate that the issue, certainly in other markets, is becoming less and less of an issue, the incident itself. Business has picked up in these other markets, and we're forecasting that it will take time in the Central European markets or primary European markets to get back to normal. But there's no reason -- I think people, even in Italy, are seeing this as a one-time freak event and don't see it as a fundamental issue with the company or the brand or the management or the safety of the ships. It's just a very unfortunate incident, and most of the polls seem to support that notion, so -- and are getting better and better on the issue. So we think it's going to come back fairly -- take 1 year, 2 to come back, but it's going to come back.
David Bernstein: Jamie, we don't have the goodwill for Costa with us, but you can call Beth after the call. I'm sure she can fill you in on some of the details. I will say that when we last did the Costa goodwill test, which we did -- we do every July, there was a considerable amount of headroom. And our expectation is that the brand will be rebuilt, and it will perform, and so we're not concerned about a goodwill impairment in relation to Costa.
Micky M. Arison: One of the encouraging things is -- obviously, Italy is the biggest issue. And our surveys -- we've done extensive surveys in Italy. And the encouraging thing is that the Italian consumer continues to view Costa as a great vacation option and a terrific vacation value. When the majority of the population feels that way, you feel very strongly that once we get past this, they're going to want to experience the product because that's the way they feel right now. So wherever -- there's no question that Costa's going to come back and come back stronger than ever over the long term.
Jaime M. Katz - Morningstar Inc., Research Division: On the comment about the $3.3 billion of free cash flow, which includes, I guess, $0.5 billion of insurance proceeds, that just about covers the capital investment and the quarterly dividend as it currently is. Are you signaling you're unlikely to return additional cash to shareholders this year, please?
Micky M. Arison: We're not trying to signal anything. We're just trying to give the facts as they are. We weren't trying to signal anything.
Howard S. Frank: Just that [ph] there would be no need to go to the markets to borrow any money in the banks. And our cash flows will cover our dividend, as well as our capital cost for the year.
Operator: Our next question comes from the line of Edward Stanford with Oriel Securities.
Edward Stanford - Oriel Securities Ltd., Research Division: Just one question, if I may, picking up on your comments just now on the dividend. Should we read anything into your declaration of the dividend post the Concordia incident? And how does that fit relative to guidance in your 30% to 40% payout ratio plans, please?
David Bernstein: I think, overall, we said in the long term the 30% to 40% was our target. But the reason we chose the 30% to 40% was because we believe that, that was sustainable through all cycles. This is a cycle, and therefore, we're -- we believe the dividend is sustainable until the earnings comes back.
Micky M. Arison: And that was kind of -- I mean, that's what we have pointed out in the press release, that the cash flow is sufficient to cover all our CapEx and the dividend.
Operator: Our next question comes from the line of Ian Rennardson with Jefferies & Company.
Ian Rennardson - Jefferies & Company, Inc., Research Division: It's Ian Rennardson of Jefferies. I just have one final question. Are you comfortable that your insurance will cover all eventualities?
Howard S. Frank: Yes, we're comfortable.
David Bernstein: Yes.
Micky M. Arison: Yes.
Operator: Our next question comes from the line of David Liebowitz with Horizon Kinetics.
David Liebowitz - Horizon Kinetics LLC: First, when will the Italian Naval Board issue their report?
Micky M. Arison: We have no idea. No. Italy is Italy, and they're going through their process. We're cooperating in every way we can.
Howard S. Frank: You mean the Coast Guard or Naval? Or Coast Guard?
David Liebowitz - Horizon Kinetics LLC: Well, whatever the point of inquiry is, are we talking then something, let's say, by June or October? I mean do you have...
Howard S. Frank: No, I suspect that -- look, I don't know which particular -- there are a number of different organizations regulatory-wise looking at the incident and probably will do some -- their own evaluations. There's also a prosecution -- ongoing question of prosecution for the -- against certain people or potentially the company. But we don't think that's going to happen relative to the event. That could go on for quite some time in Italy, as Micky indicates.
David Liebowitz - Horizon Kinetics LLC: Well, second, how are we doing with our -- if not hedging whatever contractual arrangements we're making for fuel for the balance of this year?
Micky M. Arison: I think David went over that. You want to...
David Bernstein: Yes. It's in the press release. We've got the table for the back half of 2012, as well as '13, '14, and '15 where 20% of our consumption is collared.
Micky M. Arison: Is collared, yes.
David Bernstein: So nothing for the second quarter, but 20% in the third and fourth.
David Liebowitz - Horizon Kinetics LLC: And given the collars, et cetera, how low would the price of fuel have to go for you to foreshorten the Q1, Q2 crossings so you could get an extra selling or 2?
Micky M. Arison: We'll never do that if the fuel consumption is just too large. The likelihood is we'd lengthen it rather than shorten it. When we lengthened it from 6 to 7 days, the fuel savings was high enough that we didn't need any additional revenue to make the profitability increase. And in fact, we did get some additional revenue. So it was the correct decision, and we're actually studying lengthening it again to reduce the speed again. I mean, we have a huge focus on reducing consumption.
Howard S. Frank: And the passenger response on the ship has been terrific. They don't have a problem taking the additional day at sea.
David Liebowitz - Horizon Kinetics LLC: And lastly, the amount or quantity of bookings you are receiving from onboard passengers, has that been continuing to go up as it was the last few years? Or is there some sort of ceiling it may have hit?
Micky M. Arison: I’m sorry. I don't know the answer there.
Howard S. Frank: I really don't know the answer. That will vary, by the way, by brand, David, in terms of how much marketing. Certain brands do a lot more marketing onboard than others for future cruises. So it really varies by brand. But I don't -- we don't have any across-the-board answer for you on that. Sorry.
Operator: Our next question comes from the line of Manis Menarils [ph] with Exane [ph].
Unknown Analyst: I just have 2 quick questions, please. Did I hear you correctly when you said that you would expect 1 to 2 years to come back to the expected profits for the group? So would that read -- would I have understood well? And the second point, on the operating cash flow of $3.3 billion, given the CapEx you've guided for and your dividend expectations, would that mean that you would operate on a broadly stable net debt in FY '12 versus 2011?
Micky M. Arison: The first part of your question, I would say that -- we said 1 to 2 years for the Costa brand. I think we believe the other brands will recover much more quickly. And as I think we've said, Carnival Cruise Lines is actually booking up year-over-year. So we think the recovery will be much more quick for the non-Costa business. It's hard to tell on Costa. There is feeling that it's going to be 1 year or 2. Actually, I have to say that although the consensus is that, I believe it will come back faster than that. So we'll see. Second part of your question?
David Bernstein: As far as the net debt, it will be -- essentially, that does imply it will be flat. We do have some maturities this year, but we also have a couple of export credits associated with the ship deliveries. So it should be essentially flat for the year.
Unknown Analyst: Okay. And can I just have a follow-up on CapEx? After the Allegra, do you have any expectations for boosting your CapEx or revisiting some of your ship engines or safety or whatever that you should book this year?
Micky M. Arison: We have a very extensive refit program going on at a number of our brands, and that is already in our CapEx expectation prior to this quarter. We also, based on lessons learned from a prior but similar event, we have had extensive refits to a number of our ships to improve the safety of the fire prevention systems in the engine rooms. And we've spent many millions of dollars over the last 12 months refitting the ships with additional safety equipment in those areas.
Beth Roberts: The CapEx requirement for this year is expected to be $2.6 billion, dropping down to $1.9 billion for 2013. Included in those numbers is an investment of $700 million to $750 million for other CapEx for the existing fleet.
Operator: And we have no further questions at this time.
Howard S. Frank: Okay. Well, I thank you all for calling in. And if you have any further questions or details, Beth will be available for the rest of the day. Thanks so much. Have a great day, everyone.
Micky M. Arison: Thank you very much.
David Bernstein: Thank you.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.